Katsuya Nakanishi: This is Nakanishi, CEO of Mitsubishi Corporation. Thank you very much for participating in our Earnings Presentation Meeting for the Third Quarter of Fiscal Year 2024. First, from my side, I will explain about this quarter's highlights and cash flow allocations. Please turn to Page 3 of the presentation material. First, for the consolidated net income for the nine months ended December 31st, 2024 was -- excuse me -- December 25th was JPY827.4 billion. In the Japanese offshore wind power business, due to a dramatic change in the business environment, we have recorded impairment of JPY52.2 billion. Based on the situation, we are conducting a downward revision for the power solution segment. However, as we have booked large gains coming from revaluations and sales of assets, and as we are expecting some segments to perform better compared to the outlook of our previous quarterly announcement. Accordingly, we expect we'll be able to achieve the JPY950 billion outlook for the full year that we had previously announced. The projects that have gone through impairments are three. One at the offshores of Noshiro City, Mitane-cho, and Oga City of Akita Prefecture. One at Yurihonjo City at Akita Prefecture, and one at Choshi City of Chiba Prefecture. Since we have successfully won the bid in December 2021, we have been conducting development for around three years. However, the change of the business environment surrounding wind power triggered by geopolitical risks such as a global acceleration of inflation and yen depreciation, constraints in the supply chain, and the rise of interest rates were much greater than our initial assumptions. In light of the situation, we have recorded an impairment of JPY52.2 billion, the maximum amount that can be recorded at this time. This amount has already been contributed or committed to this project. As explained in the press release on February 3rd, we are currently re-evaluating the business potential of this project in order to explore various measures to improve profitability. We plan to announce our future policy based on the business re-evaluation results. Next, I'll explain the outlook for cash flow allocation in the mid-term corporate strategy 2024. In the previous quarter's earnings announcement, we explained that the outlook for free cash flow after shareholder returns in the cash flow allocation plan was JPY0.4 trillion. As we continue to make progress, steadily in line, we will keep the outlook as it is. Regarding the additional JPY0.4 trillion in distributable funds, it will not be carried over to the next management strategy period but will be allocated in its entirety for investments and additional returns. That concludes my explanation. Next, our CFO, Mr. Nouchi, will explain the financial results overview.
Yuzo Nouchi: Hello, I'm Nouchi, CFO. From my side, I will give some additional explanation of the summary results. Please turn to Page 4. Consolidated net income of the third quarter of FY 2024 was JPY827.4 billion, up JPY130.8 billion year-over-year. We recorded impairments in our Japanese wind power business in the third quarter. On the other hand, as we have accumulated major gains on valuation and sale of assets and received dividends in our LNG-related business, the progress rate of this quarter was high at 87% against our full-year forecast. For the full-year forecast, as CEO, Nakanishi explained at the beginning, we reviewed the status of each segment and have decided to maintain the full-year outlook of JPY950 billion. Please turn to Page 5. We have compiled the cash flow allocation plan in the mid-term corporate strategy 2024. I will explain the progress as of the third quarter of this fiscal year. Cash-in was underlying operating cash flow of JPY771.4 billion. On top of that, JPY466.1 billion of cash flows from divestitures in total, JPY1.2375 trillion. Underlying operating cash flow has been subtly created each businesses. At the same time, cash flows from divestitures through asset turnover have been progressing smoothly, including sales of coal mines in our steel-making coal business. On the other hand, on the cash outside, we have executed JPY793.2 billion of investment. As a result, adjusted free cash flow was a positive of JPY444.3 billion. The cumulated progress under the mid-term plan was JPY3.2 trillion of underlying operating cash flow and JPY1.9 trillion in divestitures, both in line with our outlook. Investments have been going up to JPY2.6 trillion on a cumulative basis. Cumulative adjusted free cash flow was JPY2.5 trillion. Based on the steady progress, we are anticipating additional distributable cash from post-returns free cash flow to be JPY0.4 trillion. As CEO Nakanishi has explained, we will not carry over of this to the next mid-term plan period, but use it entirely for additional investments and shareholder returns. For the progress of quantitative targets, it is written on Page 8. Please refer to this later.
Katsuya Nakanishi: Now, I'll explain the results for the third quarter by segment. Please refer to Page 6. I will explain the segments that have seen large changes compared to the same period of the previous year. First, the third from the bottom in the food industry segment, profits increased by JPY82.6 billion from JPY3.7 billion year-over-year to JPY86.3 billion due to factors such as the absence of impairments in the overseas food business in the same period last fiscal year, as well as the sale of shares in KFC Holdings Japan and Princes. Next, for the smart life creation segment, which is the next line, profits increased by JPY90.7 billion from JPY83.2 billion year-over-year to JPY173.9 billion due to factors such as the revaluation gain accompanying the conversion of loss into an equity method affiliate, despite the absence of the gain on the sale of shares of affiliates in the same period of the previous year. Going down to the power solution segment, despite the improvement in the earnings of the power business in the Americas and the gain on sale of the European power transmission business, there was an impairment loss on the domestic offshore wind-powered business and the absence of a strong performance of the European integrated energy business in the same period of the previous year, resulting in a loss of JPY21.1 billion, a decrease of JPY42.5 billion from the JPY21.4 billion profit in the same period of the previous year. Next, I will explain the forecast by segment. Please turn to Page 7. As I explained earlier, we are maintaining our full-year forecast of JPY950 billion, but we have revised the outlook for several segments. I will explain the segments that were revised the most. First, in the environmental energy segment, we have revised the November forecast by JPY11 billion to JPY186 billion due to market factors in the shale gas business, as well as a decrease in expenses and delays in contributions for new business development. In the mineral resources segment, we have revised up the November forecast by JPY20 billion to JPY235 billion due to factors such as an increase in dividend income from the copper business. At the very bottom is power solutions, in which we expect a loss of JPY15 billion, a downward revision of JPY45 billion from the November forecast due to factors such as impairment losses in the domestic offshore wind-powered generation business, despite gains on the sale of the European power transmission business. The market assumptions for the forecast are shown on Page 30, so please refer to that later. That concludes my explanation.
End of Q&A: